Operator: Good afternoon. And welcome to the First Quarter 2022 Earnings Release Conference Call for Livent Corporation. This conference is being recorded. Phone lines will be placed on a listen-only mode throughout the conference. After the speakers’ presentation, there will be a question-and-answer session period. I will now like to turn the conference over to Mr. Daniel Rosen, Investor Relations and Strategy for Livent Corporation. Mr. Rosen, you may begin.
Daniel Rosen: Thank you, Joelle. Good evening, everyone. And welcome to Livent’s first quarter 2022 earnings call. Joining me today are Paul Graves, President and Chief Executive Officer; and Gilberto Antoniazzi, Chief Financial Officer.  The slide presentation that accompanies our results, along with our earnings release, can be found in the Investor Relations section of our website. Prepared remarks from today’s discussion will be made available after the call. Following our prepared remarks, Paul and Gilberto will be available to address your questions. Given the number of participants on the call today, we would request a limit of one question and one follow-up per caller. We would be happy to address any additional questions after the call. Before we begin, let me remind you that today’s discussion will include forward-looking statements that are subject to various risks and uncertainties concerning specific factors, including but not limited to those factors identified in our release and in our filings with the Securities and Exchange Commission. Information presented represents our best judgment based on today’s information. Actual results may vary based upon these risks and uncertainties. Today’s discussion will include references to various non-GAAP financial metrics. Definitions of these terms, as well as a reconciliation to the most directly comparable financial measure calculated and presented in accordance with GAAP, are provided on our Investor Relations website. And with that, I will turn the call over to Paul.
Paul Graves: Thank you, Dan, and good evening, everyone. Today’s prepared remarks are going to be a little longer than usual, given the large number of important and exciting developments we want to cover today. Livent had a strong start to the year, reporting first quarter 2022 results that greatly exceeded expectations, highlighted by adjusted EBITDA that was almost double the Q4 2021 results. The company benefited from higher realized pricing, supported by growing customer demand and increasingly tight lithium market conditions. While published lithium prices were higher in all regions and for all products quarter-over-quarter, the most important feature of our Q1 performance was the ability to take advantage of, and actually realize these higher prices across our customer portfolio. This reflects the benefits of our diversified offering and our business model, with stability and predictability provided by our strategic customers’ long-term contracts, coupled with exposure to rising market prices provided by longstanding customer relationships across geographies and product ranges. With our expectations for pricing through the rest of 2022 remaining similar to today, Livent is significantly raising its full year guidance ranges. We now expect adjusted EBITDA to be in the range of $290 million to $350 million for the year, which at the midpoint is 78% higher than the prior forecast and approaching five-times 2021 reported results. Livent is always looking to meet the commitments asked of us by our customers, and in particular, to provide increased security of supply, while at the same time, significantly increasing total volumes. As part of this ongoing process, today Livent is announcing multiple additional capacity expansion plans for both lithium carbonate and lithium hydroxide. At the conclusion of these expansions, Livent expects to reach 100,000 metric tons of total carbonate capacity by the end of 2030 or roughly 5 times today’s levels. Additionally, Livent expects to at least double its existing hydroxide capacity of 25,000 metric tons by the end of 2025, excluding Nemaska. We announced yesterday that Livent has reached an agreement to double its stake in Nemaska, an integrated spodumene to hydroxide project in Québec, Canada. Livent will own 50% of Nemaska when this transaction closes, which is expected to occur in 30 days to 45 days. Nemaska is a highly attractive asset in its own right, with a favorable projected cost position, being well located in North America and having access to low cost and sustainable hydroelectric power. Nemaska brings a number of additional strategic advantages to Livent, but Livent can also bring significant advantages to Nemaska, which I will talk about shortly. Before passing the call over to Gilberto to discuss our first quarter results, as well as our much improved 2022 guidance, I want to provide some market observations on slide four. Given the public commentary on lithium lately, discussion of higher prices and tight supply should not come as a surprise to anyone. It should also come as no surprise that current price levels, both published indices and those disclosed by producers, are exceeding the already bullish expectations heading into 2022. Fundamental to this situation is not, as some have stated, a failure of the lithium industry to expand, but the fact that we have seen massive and rapid demand projections by automotive OEMs and accelerated rollouts of electric vehicles as customer acceptance and regulatory pressures have far exceeded OEM expectations. Of the three fundamental challenges to successful migration to EVs from internal combustion engines, the first two, namely acceptable technology and customer acceptance, have largely been overcome. The third challenge, securing the supply chain, has, however, lagged far behind in the OEM’s priority list. Put another way, most OEM’s EV plans have been drawn up without addressing the fundamental challenges of securing long-term supply at the same rate. As a result, there has been a real rush to source batteries, and in parallel, a growing realization that there is a fundamental shortage of lithium available in the market for at least the next couple of years. There are also some specific factors amplifying this tightness in the short-term and driving lithium prices higher. These include broader supply chain disruptions and challenges from COVID-19 shutdowns in China, which impact both supply and the timeline of many expansion projects, limited and unpredictable shipping capacity, creating short-term disruptions to battery production, and higher input costs and tight labor markets, especially in remote parts of the world where most production and expansion activity is currently taking place. A final and very important factor is that the inherent weaknesses of the existing China-based supply chain, which we have discussed previously, are revealing themselves. Today, non-integrated producers of lithium chemicals in China are unable to secure reliable, committed supply of sufficient feedstock. Australian spodumene producers have painful recent memories of the lack of reliability of previous fixed price supply contracts entered into with China-based customers and they are understandably moving to uncommitted, auction-based pricing and supply mechanisms. And as many Australian miners look to integrate into their own downstream conversion facilities, either directly or in partnership with others, this structural issue will not likely improve any time soon. We have seen published prices of all lithium products dramatically rise. By the end of April, the increases that were largely China-based and carbonate focused in the first couple of months of the year, started to drive prices higher outside China and in other lithium products. The reference price of hydroxide in China closed the gap with carbonate by the end of Q1, while the price of metal exceeded that of carbonate on an LCE basis. And we also see reference prices outside of China moving up quickly, largely as historical supply contracts expire and are renegotiated. These movements of otherwise-unconnected products and regions make sense when you look at the realities of the China supply chain today. In the last few quarters, for converters facing scarce input availability, the decision of how to maximize profit was very simple, switch your operations, where possible, to make and sell as much carbonate as possible. As a result, production of hydroxide and lithium metal only makes economic sense to them if the price of these products climbed to equal or higher pricing on an LCE-equivalent basis. But by rapidly shifting production to the highest margin products in this way, Chinese converters are amplifying supply swings, and therefore, price volatility. A hydroxide price premium to carbonate has now returned in some parts of the market and given the well-known challenges in producing and getting qualified for battery-grade hydroxide, we believe many producers will struggle to shift production back to hydroxide as easily as they moved into carbonate. This is especially the case in higher-end battery and auto OEM applications, where the time and effort needed to qualify supply requires a commitment from the lithium producer to remain a supplier for long enough to justify that effort. What is even more clear is that forecasted demand for lithium growth, which shows no signs of slowing down, continues to outpace any reasonable projections of supply increases in our industry. Given today’s price levels, it is no surprise that there has been a flurry of expansion announcements and activity. However, given the well-documented challenges of lithium expansion, as well as the time and capital intensity it requires, it is very hard to imagine a structural supply shift in the market over at least the next few years. While some expansions are easier than others, particularly when it comes to existing hard-rock operations, it is the success of integrated greenfield projects, like Nemaska, that will be critical to re-establishing supply balance. In this environment, there is understandably a higher focus from lithium consumers, particularly OEMs, on securing battery-grade lithium from proven suppliers. Now this sounds easy, but it is in fact constrained by some other unusual features of the current battery supply chain. Perhaps most important is the fact that many OEMs today are exposed to battery supply agreements where the lithium is purchased by their cathode and battery partners and these partners control not only the price decision, but also, through the qualification process, the supplier selection. However, they then pass these material costs directly on to their ultimate customer, the OEM. Now this is a situation that cannot continue indefinitely, however we do not expect supply chains to shift to a more logical OEM-contracting structure inside the next two years, given the battery supply commitments already in place. But we do see OEMs becoming much more involved in the battery material procurement conversations and they are seeking to sign commitments directly with battery material suppliers that will become far more important in the market in the 2024 or 2025 timeframe. I will now turn the call to Gilberto.
Gilberto Antoniazzi: Thanks Paul, and good evening, everyone. Turning to slide five, we reported first quarter revenue of $144 million, Adjusted EBITDA of $53 million and adjusted earnings of $0.21 per diluted share. Versus the prior quarter, revenue was up 17%, with slightly lower total LCE volumes sold and a negative product mix more than offset by higher realized pricing across all of our products. First quarter adjusted EBITDA was roughly double the result from just last quarter. This was due to a meaningful step-up in lithium prices from new contracts entered into for 2022, as well as our ability to take advantage of higher market prices that exceeded expectations heading into the year. Given the current environment, Livent has a significantly improved outlook as we look to the rest of 2022 as shown on slide six. The market continues to move rapidly with respect to prices, and while realized prices were higher in the first quarter, we are expecting them to be even higher in the remaining quarters. For Livent, this impact is largely on the smaller-volume, uncontracted and market-driven portion of our business, which has far exceeded our initial assumptions.  For the full year, Livent now projects revenue to be in the range of $755 million to $835 million and adjusted EBITDA to be in the range of $290 million to $350 million. At the midpoints, this represents growth of 39% and 78%, respectively, versus the prior guidance ranges and growth of 89% and 360%, respectively, versus the prior year. Our guidance ranges for the full year have also widened compared to last quarter. This is due to just how quickly the market has moved with respect to lithium pricing. And while we feel confident that average realized prices will be higher in the remaining quarters versus the first, we also acknowledge the higher volatility and unpredictability in the market today. On slide seven, given the significant change in our guidance in just three months’ time, we provide revenue and adjusted EBITDA bridges to highlight the drivers of our increase in 2022 guidance at the midpoints. As a reminder, we expect 2022 total volumes sold on an LCE basis to be flat versus 2021 as no meaningful volumes from our capacity expansions are expected to be commercially available until 2023. The revised guidance does not assume any change in volumes compared to our last guidance. This means the improvement is driven by meaningfully higher expected market prices across all lithium products, and in particular, reflects confidence in our ability to navigate higher input costs, especially in lithium metal. With respect to pricing, we classify the major increases into two categories, our market price-influenced hydroxide and carbonate volumes and our butyllithium and high purity metal businesses. Roughly one-quarter of our hydroxide sales volumes and all of our carbonate sales, albeit small volumes, are subject to periodic pricing reviews that allow for more direct exposure to market prices. On this subset of volumes, we are expecting around $130 million in price improvement versus prior expectations. For butyllithium and high purity metal, we committed volumes to existing customers this year, but shifted price-setting from annual to a more short-term basis, recognizing the difficulty in accurately predicting the lithium metal raw material prices to which butyllithium is exposed. This price setting change was driven by a different dynamic than hydroxide or carbonate, as this is where we are seeing significant and rapid cost increases in key inputs. Our focus for our metals-based businesses in 2022 has been on maintaining profitability, so while pricing is expected to be stronger in the order of $95 million, it is largely a pass-through of rapidly rising costs of feedstock material, particularly lithium metal. As a fully integrated producer of lithium products, with predictability around cost and security of supply, Livent is able to build its core business around long-term supply agreements with firm commitments and predictability on pricing. However, as you can see in our guidance, we still retain the ability to take advantage of higher market prices, supported by our position in key strategic markets and regions. Additionally, the nature of our operations and ability to deliver both lithium carbonate and hydroxide to customers, provides us with a differentiated position and greater operational flexibility. Despite the wider guidance for this year, at either end of the range Livent will see a material increase in profitability and cash flow generation. And as we look to the next few years, this will be enhanced by additional production volumes coming online. Additionally, as a result of our evolving business mix and internal corporate structure as a standalone public company, Livent expects a lower effective tax rate moving forward in the range of 16% to 20%. I will now turn the call back to Paul.
Paul Graves: Thanks, Gilberto. We have had ongoing expansion projects in Argentina and the U.S. for some time now, but we know that we must continue to grow our production capabilities even further. Our customers tell us this, sometimes privately, sometimes publicly. To be clear, these private conversations are different to prior years where lithium pricing may have been one of the first and maybe only topics to be put on the table. Existing customers and an increasing number of OEMs are coming to us, because they now realize they must take a more proactive role in securing long-term supply, and therefore, want to partner in a way that goes beyond traditional purchase agreements. And more importantly, driven by multiple recent supply letdowns, especially from new entrants who have yet to produce, OEMs are prioritizing new long-term supply agreements with quality proven and established producers like Livent. We have already hosted multiple existing and potential customers at our operations in the U.S. and Argentina in the first few months of this year, something that very few have expressed interest in historically, and we expect to host more throughout this year as we look to show them what it actually takes to expand and what they can do to help us accelerate these expansions.  Before going into detail on all of our announced expansion plans for both lithium carbonate and hydroxide, you can see how this translates into total capacity growth through the rest of this decade on slide eight. For carbonate, we plan to expand our existing resource in Argentina up to 100,000 metric tons of capacity by 2030 or roughly 5 times today’s levels. Our operations at Hombre Muerto have produced for a long time and our data suggest we have many decades of resource life ahead. Our unique proprietary process for lithium extraction results in a very competitive cost position and a leading sustainability profile. Additionally, because we have been operating at the Salar for roughly thirty years and are replicating the existing processes that we use today, we believe our current expansions there carry none of the process or flow-sheet risks that are inherent in many other projects globally. For hydroxide, we expect to reach 45,000 metric tons of capacity by the end of 2023 and at least 55,000 metric tons by the end of 2025. And our investment in Nemaska provides exposure to up to an additional 34,000 metric tons of lithium hydroxide, which means that on a 100% basis, we are potentially looking at 90,000 metric tons of hydroxide capacity by the middle of this decade. Beyond this, we will continue to evaluate additional expansions globally when supported by specific customer commitments. Still on slide eight, you will notice that we characterize our existing operations as 1a and 1b, reflecting the fact that our carbonate and hydroxide operations today function as an integrated network rather than each as standalone assets. As a reminder, you cannot add our carbonate and hydroxide capacities together when projecting sales volumes. So when netting 45,000 metric tons of hydroxide capacity against the Livent carbonate required to feed it, you will see that in the outer years we expect to have a meaningful amount of available carbonate remaining for sale. A key consequence of this integration is that a decision to make and sell hydroxide within this network is equally a decision to not sell carbonate. At some point in the coming years, therefore, we will need to make decisions as to whether we wish to sell that carbonate directly or to invest in further hydroxide conversion. We have been talking for a while now of our desire to have meaningful exposure to all forms of lithium, and therefore we do expect to be a supplier of greater carbonate volumes to the market over time than we have been historically. Turning to slide nine, you will see the three separate carbonate expansion stages we have planned at our resource in Argentina. Livent remains on schedule with all previously announced timelines for its first expansion. This can be viewed in two phases, both using the exact same direct lithium extraction process that we utilize today. In the first of these two phases, Livent will add 10,000 metric tons of lithium carbonate capacity by the first quarter of 2023. In the second phase, an additional 10,000 metric tons of lithium carbonate capacity will be in place by the end of 2023. So in less than two years’ time, Livent expects to have effectively doubled its total carbonate capacity. There is meaningful onsite construction and installation currently underway for this expansion and we expect to complete key infrastructure over the next few months. To complete these two phases, Livent anticipates roughly $450 million of total capital spend remaining between 2022 and 2023. For the second expansion, Livent announced last quarter that it began preliminary engineering work, using the exact same direct lithium extraction process. In doing this it became apparent that this expansion can provide an additional 30,000 metric tons of carbonate capacity by the end of 2025, or 10,000 metric tons higher than previously anticipated. This incremental production is made possible by re-engineering the front-end of our flow sheet with respect to how we manage fresh water, as well as rethinking how we tackle the late-stage brine evaporation step. By doing this, we will improve our overall lithium yields and reduce average water-use intensity for our current and future operations, while freeing up our existing evaporation ponds. To be clear, the key DLE-extraction and carbonate production processes will be unchanged from our existing operations. For capital requirements, we anticipate spending to be in the range of $500 million to $700 million, with an initial outlay beginning late this year and a ramp-up into 2024 and 2025. Total spend is expected to be lower than the first expansion, as Livent takes advantage of the infrastructure built to support future expansions. However, some of this benefit is offset by additional investments we will be making as part of this expansion that further improve the sustainability profile of our operations, particularly implementing mechanical evaporation and adding closed loops to increase water re-use. As for further expansion at our resource in Argentina, Livent is evaluating a third project that adds up to 30,000 metric tons of additional lithium carbonate capacity. Different from the prior expansions, this would deploy more conventional evaporation-based processes, which reduce both carbon intensity and fresh water use. Additionally, it should require significantly less capital versus prior expansions, given the potential to repurpose our existing ponds that would no longer be needed for our expanded operations. Following this, Livent believes it can reach total capacity at its operations in Argentina of 100,000 metrics tons before the end of 2030. While we do not believe we would be constrained from additional expansion beyond this point from a resource standpoint, it is ultimately the necessary infrastructure and the remoteness of our location that will dictate where we go from there. Turning now to slide 10 and hydroxide. Livent is nearing completion of a 5,000 ton expansion at its existing site in Bessemer City, North Carolina. There is minimal capital remaining to complete this unit and commercial production will start in the second half of this year. This will bring our total hydroxide capacity in the U.S. to about 15,000 metric tons or equivalent to our current production capacity in China. And because this is a modular replication of our existing carbonate-fed process, we expect the qualification and the ramp-up timeline with customers to be fairly short. We retain an ability to add further hydroxide capacity at our site in Bessemer City as needed. We also announced that we are adding another 15,000 metric tons of lithium hydroxide capacity at a new location in China by the end of 2023. Given our proven track-record of successful hydroxide expansion in the region, we have confidence in our ability to execute this expansion quickly and capital-efficiently. The decision to proceed with this expansion was straightforward given how concentrated cathode and battery production is in China today. It will allow us to serve our growing customer demand in the region, as well as provide us with location diversification inside China. Livent is also evaluating building a 10,000 metric ton-plus recycling-focused plant, which takes recycled lithium material, likely in the form of crude lithium sulfate or crude lithium carbonate, from third-party recyclers and converts it into battery-grade lithium hydroxide. This would be an inherently different business model than what we operate today. We would not be providing the lithium feedstock, as we do with the carbonate-fed units we operate today, and we expect that it would be closely linked to our existing hydroxide customers as an additional service we provide solely to those customers as they look to re-use, where possible, the lithium they already own that resides in end-of-life batteries. While the location of this plant is still to be determined, there is a high likelihood it would be in the U.S. or Europe. The company is actively evaluating multiple partnership and strategic funding opportunities and believes this could be in commercial production as early as the end of 2025, which lines up well with the timing in which some of these streams will start to become more readily available. Following these expansions, Livent expects to have total lithium hydroxide capacity of 55,000 metric tons, more than double its current capacity of 25,000 metric tons. There is plenty of work to be done over the coming quarters and we look forward to keeping you updated on all of our progress, and of course, this excludes Nemaska, which brings us to slide 11.  Yesterday, Livent announced that it will double its ownership interest to 50% in Nemaska by issuing 17.5 million shares of its common stock in exchange for a 25% stake. Investissement Québec, an investment group owned by the Government of Québec with a mandate to provide strategic capital to facilitate investments in the province, will remain holder of the other 50% ownership interest in Nemaska. Following this transaction, the total cost for Livent’s 50% ownership in Nemaska will be approximately $400 million. Livent is committed to the future success of Nemaska and our increased ownership reflects this commitment. As I mentioned earlier, Nemaska brings multiple benefits to Livent. These include resource diversification, further improvement to our green production credentials and an attractive location from which to serve growing regional demand in North America and Europe as localization of supply chains becomes a bigger focus for our industry. But perhaps even more important is the benefits Livent will be able to bring to Nemaska following the closing of this transaction. We will be able to more easily support Nemaska by providing technology and operational know-how, reducing the inherent risk that new entrants face in the battery-quality hydroxide market. This will help to ensure that Nemaska delivers the quality products that customers are demanding. We will be able to support Nemaska’s commercial strategy, bringing far greater market intelligence to Nemaska than they would otherwise have access to. And we will be able to start to offer customers higher volumes and a further diversified supply chain, with significantly lower sourcing risk for them as a result. We look forward to helping Nemaska fulfill its role as an integral part of the growing lithium battery supply chain in the western hemisphere. Having worked closely with the Nemaska team through its engineering work, there is a lot to be excited about, as we detail on slide 12. At this stage, we can share that it will be a large and cost-competitive asset with over 30 years of expected mine life. The project is targeting 34,000 metric tons of battery-grade lithium hydroxide capacity produced in Bécancour using conventional conversion flow sheets, and solely using spodumene concentrate from Whabouchi, creating true integration of the operations at both sites. To be clear, Nemaska has no plans to sell spodumene concentrate from Whabouchi. First commercial production of lithium hydroxide is expected by the end of 2025. Total CapEx is currently estimated to be around US$1 billion, which is consistent with the capital costs of similar integrated projects being developed, for example in Australia and Korea today. We believe that Nemaska will be an important part of the supply of sustainable critical battery materials. It has access to low-cost, zero-carbon hydroelectric power and is strategically located close to regional shipping ports. It is also clear that the industrial park being developed in Bécancour will be a foundational part of Québec’s ambition to develop a global battery materials hub. There have already been multiple announcements to produce cathode active materials at the site alongside Nemaska, creating a real model for localization that we believe is essential for the sustainable development of our industry. There is also additional land available at the site in Bécancour for Nemaska to potentially add future lithium capacity. Concluding on slide 13, Livent has multiple attractive opportunities to increase production and continue meeting the growing needs of its customers. This will undoubtedly come with a step-up in required expansionary investment over the next few years. Projections for 2022 capital spending have increased to $320 million at the midpoint or $20 million higher, which is largely a timing effect as we look to accelerate work on our expansion projects. As we look at 2022 through 2024, we estimate capital spending in the range of $1 billion, excluding any potential Nemaska funding contribution required of Livent. With respect to Nemaska, given our partner there and the interest from customers and lenders, we expect there will be plenty of attractive financing options available that will be put in place at the appropriate time. Based on where we sit today, we expect to fund our investments with a combination of internally generated free cash flow, third-party debt and other sources of capital that may include customer or government financing opportunities that are becoming more widely available. However, most of our capital needs we expect will be met by the increasing cash flow generation of our businesses. This confidence in strong cash flow generation is the result of two primary factors. The first is that starting next year, Livent will begin adding meaningful incremental production volumes. In 2023 and 2024 alone, Livent is expecting to add 6,000 and 16,000 LCEs of additional sales volumes, respectively, compared to 2022. We expect incremental volumes in 2025 to be even higher than this and for Livent’s production to continue to grow through the rest of the decade. The second is that the underlying economics of the lithium industry have fundamentally evolved, with higher-cost resources entering the supply picture and an acknowledgement from customers that pricing needs to support reinvestment. While prices will inevitably come down from today’s levels at some point, it does not appear likely that there will be a return to the price levels seen prior to this year in the next few years. While we are not in a position to provide any financial guidance beyond 2022, as we do not pretend to have the ability to project market pricing over the next few years with any reasonable degree of accuracy, even under a wide range of potential price scenarios Livent clearly has strong earnings power. And as a proven and reliable operator and commercial producer of lithium compounds, we have a differentiated value proposition that we bring to our customers, our investors and all of our key stakeholders. I will now turn the call back to Dan for questions.
Daniel Rosen: Thank you, Paul. Joelle, you may now begin the Q&A session.
Operator: [Operator Instructions] Your first question comes from the line of Steve Richardson from Evercore ISI.
Kiesean Riddick: Hello. Hi. This is Kiesean on for Steve. So quite impressive quarter and data guidance. But just one question in terms of guys that are rough math plus margins at about 40%, which is about a little bit higher for the quarter. Do you talk a bit more about your market assumptions in the guidance, not just on pricing but also on cost?
Paul Graves: Sure. I think, we -- Q1 saw some interesting pricing dynamics. We mentioned the carbonate was hired to start with and then by the time we ended Q1, we would seen hydroxide gets up in line with carbonate and metal prices on an equivalent basis even higher than carbonate work. So we -- what -- our guidance really reflects and I think that we saw as we finished the quarter and into April is going to be maintained to through the rest of the year. And the costs are the same, right? So it -- the biggest cost variable we have is lithium metal, but given our pricing assumptions on butyllithium and high purity metal simply reflects an attempt to pass those costs on to sort of hedged, if you will, in terms of those extra costs. The agreements with customers are that we have been very transparent and as we pass those lithium metal cap costs on our customers pay for the lithium metal. So we are not expecting any fundamental, meaningful increase in costs in any other area that there are certainly, what I will call frictional costs in supply chain logistics, et cetera. But they are all really pretty much reflected in the guidance already.
Kiesean Riddick: Got you. Thank you so much. And for Nemaska, it seems like this is a natural progression of Livent’s participation in the project. Just really quickly I was wondering why is now the right time to increase the working interest? How much CapEx is remaining and then just a timing in terms of FID and other gating factors please?
Paul Graves: Sure. Timing our M&A deals, this is not a market trade, right, where we just went in and bought the shares. We have a partner and they have a partner in Pallinghurst it’s a private equity firm. Pallinghurst took this business largely from bankruptcy to a CC delay process and took it to well, today I don’t have any doubt that that was not a Livent skill set and IQ will admit it’s not an IQ skill set. But we are through that phase now and we are now into the final phases of engineering this project. The mining work, which is not abstract, is largely completed and we are in the final phases now completing the engineering work for the for the hydroxide plant. And it just felt like it all was a natural time for us to restructure the ownership and for Livent to take on a bigger role. The timing is pretty straightforward. By the end of this year, we will have what we require as an organization, which is a level of engineering certainty that we require to start construction and we would expect construction therefore to start at the back end of this year and continues really through 2024 and into 2025 at which point production will start happen, we will start to ramp up process. Now it is, it’s a spodumene base process, so very different for hydroxide carbonate processes. We do expect a slower ramp up to commercial production. So we are not expecting, unlike our hydroxide units, which we can get up and running within a month or two. This is going to take longer, which is why you will see us talking about really meaningful commercial volumes coming out at some point in 2026.
Operator: Your next question comes from the line of Pavel Molchanov from Raymond James.
Pavel Molchanov: Thanks for taking the question. Looking at the timetable of your carbonate expansion, you are looking for a plateau between 2025 and 2029. Is there any scenario where you would accelerate that third and final phase of expansion?
Paul Graves: It’s possible. I think we are trying to be realistic about everything we have going on because it lines up clearly one as an organization where we are focused on Nemaska, starts up and ramp up. But not -- I think the short answer is, if we can, yes, it has to make sense on multiple different levels. You have to understand how we remote this location and what it actually takes to do these projects. It is not easy to do them. And given we are moving to a different process, we typically, we have not used traditional conventional evaporation processes. We expect to spend a lot of time looking about how we can optimize them. The reason we have never used them in the past for multiple reasons, but not least, the yield is lower, the quality of the product you produce in that part of the world from that brand is not going to be as high as it is using our existing process. We are fine with that because it will certainly be good enough to use in our hydroxide processes so we don’t lose any value from that. But it also takes quite significant time with local communities, with the local government, et cetera. So if we can accelerate it, if the market justifies it, we will. But I think what we have got there is a reasonable maybe having on the side a conservative assessment of what that phase of the expansion would look like.
Pavel Molchanov: Okay. And following up on Nemaska, do you anticipate receiving any federal or provincial funding, CapEx rebates to help pay for development of a lithium industry in Quebec?
Paul Graves: I think everybody’s looking to see what support you get from the local provinces. And there are multiple levels of support that are more than just provision of capital. I mean, having IQ as a CO investor is, one, I think helping secure locations, helping with incentives for training labor, which is obviously a key concern when an area is expanding so quickly. Certainly opportunities for us to get some tax advantages from doing that. And sure, if there are some provincial capital available that’s cost competitive and makes sense, we will take a look at that. We certainly aren’t doing it on the basis that it requires that we typically have not taken capital of that type. But largely, we have not seen provinces, governments, regions be strategic in terms of how they provide that capital. But clearly, if it makes sense, we are certainly open to it.
Pavel Molchanov: Appreciate it.
Operator: Your next question comes from the line of Chris Kapsch from Loop Capital Markets.
Chris Kapsch: Hi, Good evening.
Operator: Your line is open.
Chris Kapsch: So -- thank you. So it’s great that you get -- you can elaborate a bit more on your expansion activities and I assume this is a tremendous interest to your downstream customers. And also you emphasize how just this accelerated EV transition and the bullish fundamental backdrop is inducing customers to get more proactive and creative relative to conventional supply agreements. And I am just wondering if you could elaborate on what that means with the -- with respect to agreements that you are considering. Is it a sort of a duration of a supply agreement kind of clause? Is it pricing mechanisms? Is it willingness on their part to fund just what sort of things are on the table at this point?
Paul Graves: Yeah. Look, it’s an interesting one. I mentioned that, I think I heard from one of the industry consultants recently that the lithium industry has expanded its output in the last three years or four years by about 4x, right? And so we have added a lot of capacity and yet it’s just not enough. It’s not enough because the OEM is expanding even more quickly. But what the OEMs is also recognized is that they kind of but not all of them, by the way. But many of them have outsourced this whole process of securing battery material to the battery chain to the batteries players, to the cathode guys, et cetera. And then I looked at them and said, okay, we need to change this. In order to change this, the biggest differentiators that they have, frankly, is, number one, they can provide the certainty, because they know that one way or the other they are going to need to apply and they may change cathode suppliers, that may change battery suppliers and may change regions where they manufacture, but they know they need lithium. So the ability to provide true certainty is really resides with the OEM. The second one is to provide price certainty. I think nobody really knows what future pricing is, but everybody knows that there’s a price at which it just doesn’t make sense either too low for us, too high for that. And so the ability to structure what I will call rational pricing mechanisms, the equally share rewards, depending on what the supply balance looks like, also resides largely with the OEM. And equally and this isn’t one it’s sharing in more detail the technology roadmaps with us. What do you actually need? When would you have recycling streams available? Which regions do you want to produce and what is your position, your requirement, and your attitude towards sustainability, to carbon content? How do you feel about investing in sustainable lithium production to increase sustainability. Frankly, how do you feel about existing investing upfront in a contract to help secure supply? All of these conversations, frankly, can only happen with an OEM and they are starting to happen with the more progressive, more forward thinking OEMs.
Chris Kapsch: That’s helpful. Appreciate that. And then I also had a follow-up on the Nemaska around the timeline. You mentioned commercial production by the end of 2025. That’s further downstream conversion asset. And I am just curious if you say in the slide that you are looking to match the spodumene production with the conversion facility being ramped. Just curious if you have -- how wed you are to that, if there’s any scenarios where you would spodumene and sell that into the market ahead of the christening of the hydroxide facility. I am just wondering about the timeline more generally as well. Thanks.
Paul Graves: Yeah. $5,000 a ton of spodumene concentrate. You can certainly understand the temptation. So I am not going to say never, never, never. I will never say never if it makes sense. Look, what we -- the mine is clearly capable of coming online sooner. But it’s important to understand that one of the key or couple of key challenges we have seen with these projects in the past is either over building a hydroxide plant to the mine comp feed or not thinking carefully enough about exactly what that spodumene concentrate feed looks like. So we have been spending a huge amount of time on making sure we know exactly what the optimal spodumene concentrate feed coming out of that mine is. Concentration as well as volumes and the plant has been sized accordingly. It is quite likely during the ramp up phase we will be producing more spodumene concentrate than the plant can consume to start with. However, we are also pretty confident that the mine won’t run perfectly. So it’s, it’s a new mine new start. So having some spodumene concentrate inventory in those early years to help manage that spot to process is probably just as important realizing a few extra dollars at that point in time. So the model certainly does not call for shipping spodumene concentrate from Québec to China. Let’s be honest with that. It does not.
Chris Kapsch: Thank you.
Operator: Your next question comes from the line of Kevin McCarthy from Vertical Research Partners.
Kevin McCarthy: Yes. Good evening. Paul, what is the pricing assumption that’s embedded in your 2022 adjusted EBITDA range of $290 million to $350 million? And then related to that, can you comment on the percentage of your business for which price is fixture or known this year and next year?
Paul Graves: Yeah. I think, we have never given price guidance before. So I don’t want to break that history of ours. So I certainly don’t intend to do that. You could probably back it, with a bit of math, right? When you look at what Gilberto told you about what proportion of our hydroxide is not contracted and small carbonate, we don’t have a lot of carbonate volumes to sell. Really, though, other than the contracted hydroxide volume, nothing else is set. Everything else that we have is going to be priced on a relatively short-term basis, whether it’s monthly, some quarter like we are going to have by switching portfolio and with our hydroxide portfolio into battery and non-battery applications, but it’s not the strategic customers, everything else is exposed to market.
Kevin McCarthy: Okay. That, that’s helpful. And then, secondly if I may, Paul, you are issuing 17.5 million shares for the Nemaska deal. And we have upsized expansions in Argentina. Now Canada is moving forward as well. And in that context, would you intend to access either the capital markets or perhaps partners capital in addition to the much stronger free cash flow that you envision over the next several years?
Paul Graves: If you look at the next three years, if you just assume today’s environment roughly stays in place, whatever that means, right? I mean, it is a range of outcomes. It’s highly unlikely that for the next two years we would need any outside capital other than going down on existing credit agreements, credit revolver. So and even then going in a relatively small way, because when you look at our EBITDA, we look at the growth volume, et cetera, it just does not seem like, it’s of course possible that we have been here before, right? So let, I will be realistic on this one. I think tapping into outside sources of capital, I think is, frankly, more likely to be customer and partner capital, much more likely and we don’t see a scenario, frankly, today where we have run into where it looks likely or even possible that we have got into a place where we need to issue equity. But why do I say that, but bluntly if we reached that point, it probably means we are not generating as much cash flow which means pricing isn’t what we thought, which means the expansion will slow down and capital slows down. We have that lever that we are likely to pull first, to be perfectly honest. So I think customer capital, partner capital, strategic investor capital is an asset in small ways way more lighter than capital markets in the classic equity sense.
Kevin McCarthy: Right. Thank you for that and congrats on the results.
Paul Graves: Thank you.
Operator: Your next question comes from the line of Matthew DeYoe from Bank of America.
Matthew DeYoe: Thanks. So how should we think about some of the fixed costs flowing through from the start ups, particularly some of the carbonates side of the equation as we move into 2023?
Paul Graves: Every time you start to and you select, you have obviously you get that kind of drag on day one of the higher cost run into. The difference perhaps that I think maybe people are still struggle to understand is that every -- different ways of producing lithium require different start-ups. We have already talked. Starting hydroxide plants are made from spodumene we can be quite a slow ramp up. So you do get some fixed cost inefficiencies, starting carbonate production from grind when we use an 18-month periods in evaporation ponds the same. Our carbonate expansion in Argentina don’t operate that way, from the point at which we can kind of mechanically complete the signed production is certainly months, maybe quarters, but it’s not much more than that. So, while you do get a bit of a drag during the ramp up, it is not as noticeable or as pronounced as you would see with some of the other projects. So when we talked about starting production in 2023 for our first expansion, we expect to be mechanically complete sometime in Q4. And by the time we then claim the pumps and got everything going, it’s probably another quarter to get going and then another quarter to ramp up. But it’s not a huge amount of time, to be perfectly honest and not huge drags.
Matthew DeYoe: Thanks. And look in the past, you had waited for somewhat firmer off, actually I am going to skip that one. The lithium recycling plant is a bit of a new one, do you expect to tie in an agreement with somebody like Lifecycle or Redwood or would it be from a battery plant and then how do you, how do you think about the economics here. Is this going to be kind of a tolling margin for you or would you, how do you think you would structure the agreements.
Paul Graves: Yeah. Listen, look, with the recycling, I think the one truth that people have yet to really kind of take a long hard look at is that most of the lithium that gets recycled is already owned by somebody. And so what they are not looking to do is now selling that I am a deep discount to what they paid for it. I think what they are looking to do is to pay somebody to recycle for them, which is a different business model when you think about that. Could it be a Lifecycle or a Redwood or similar? Absolutely. But I think it really depends on where the OEMs go it, whoever owns the lithium is going to direct this, whoever owns the lithium, and by the way, this may include cathode produces, battery produces who have scrap and waste during that processes. They are the ones that in the end they are going to be having, have some lithium and they are going to look around and try and find partners to help them we use it into their systems. I saw some data the other day. I had some data which I thought was, I think really in line with how I think about things, as well as recycling by 2030 could be 10% of total lithium production, which doesn’t sound a lot until you realize demand of probably 3 million tons and 300,000 tons of lithium is going to need to be recycled. We expect largely that this will be a partnership with customers. It will be part of this partnership approach. We do not expect to put Livent capital to work in any meaningful way in these facilities which doesn’t mean the economics of them will clearly be there will be less profit coming from them, but that will be, I would expect, no Livent capital tied up in them. Does that make it a tolling model or some of the model? Probably in that direction, yes, but it is a very different business. But one that we just think, we just have to evolve and the truth is, there aren’t many out there that actually have that capability to actually turn a crude lithium stream from recycling into battery-grade lithium hydroxide and we think that’s a value that we bring to our customers.
Matthew DeYoe: Thank you for that.
Operator: Your next question comes from the line of Aleksey Yefremov from KeyBanc Capital Markets.
Aleksey Yefremov: Thanks. Good evening, everyone. Maybe I will try a price question in a different way. You just may be characterize the percentage of change in price that’s embedded in your guidance or kind of the upper and the lower bound of this change that that you think is reasonable?
Paul Graves: Hard to know what a percent of changing from to be honest. But, I think, maybe the best way that I can describe this is, we have certainly seen the lithium -- realized the lithium carbonate pricing in the first quarter was probably higher than some others have announced for us and so because we don’t sell as much. I think we maybe for whatever reason are able to that to drive a higher price, maybe to add customers. But the lithium carbonate pricing compared to the flows that we saw, the really low prices that we weren’t even selling it, it was about 7 times or 8 times the price that we were seeing in sometime in 2020. And hydroxide, it caught up with that, frankly, it’s stuck with that and going past it, so it’s certainly up in the, right, it’s hard to be precise, to be honest, without giving you specific guidance. But just assume that it’s meaningfully higher than we have ever seen in the past.
Aleksey Yefremov: Okay. Fair enough. Thanks, Paul. On Nemaska, I guess, you have done a lot of work in understanding the economics of the project already. Do you have an idea where cash costs could come in either for spodumene or all in for the hydroxide?
Paul Graves: And we do, we have been involved in this project for a long time. There’s a steering committee in Nemaska that we basically sent some of our employees to work on. So we do have just a huge amount of insight into the massacre. We are certainly not going into here with what I call blind hope. I don’t think there’s ever been a more diligent investment that we have ever made. We do know where the cash costs are likely to come out. I think it’s like anything where, there’s so many different definitions of cash cost. We don’t -- we do care about the supply can be tough, clearly, but it is the integrated cost that we are largely looking at. And so when we look at it on the cost curve and we look at the cost curve in 2026 when the plan is going to be produced to our best estimate of where it sits is pretty much bang in the middle of the cost curve with all the brain goes through the left and the non-integrated Chinese converted all the way to the right. And a few not many of us, frankly, right now integrate spodumene, convert to that middle slide and that’s where we expect it to be.
Aleksey Yefremov: Thanks a lot.
Operator: Your next question comes from the line of Joel Jackson from BMO Capital Markets.
Joel Jackson: Hey, Paul.
Paul Graves: Hi, Joel.
Joel Jackson: First question, two parts, looking at the slide, will you project slide eight rejecting your capacity, year-end production capacity? Can you talk about in general, what would you expect for the qualification period of the various expansions? And then what would you expect the utilization rate to be at these operations like 90% and then what would be a kind of max battery grade 90%, like, can you give us some color around all that ?
Paul Graves: Yeah. One question, you don’t have a part to this.
Joel Jackson: That’s one question. Yeah. That’s just one two part questions.
Paul Graves: Let me get able to follow the trend and the second question will be on the mask. Let me try at that one. These -- today if we list our capacity and we look -- we list our production rate, that capacity and production rate, it’s a pretty much 100%, right, just because the nature of what they are. We produced pretty much at nameplate. In fact most of our hydroxide plant we produce ahead of nameplate. I suspect we won’t do that in the future because the nameplate up as we build new ones. The qualification process, it really depends on what it is. I think it’s fair to say that if it’s to an existing customer, I am talking hydroxide now, if it’s to an existing customer and we have spent time with them knowing exactly what it is and what they use and what they need, it is months to get qualified. Provided they want us do it. Let’s be honest, this is never about how long does it take to qualify. It’s about a risk that the consumer is willing to take on and that’s why we tend to do it more quickly, because they look at our material, they like using it, they know it’s for lithium for them and so they tend to accelerate the qualification processes, because qualifications expensive for them. Carbonate are those different and all of our hydroxide will be battery-grade. We pretty much won’t make it if it’s not battery-grade. There’s no growth in non-battery-grade lithium hydroxide. Anybody who thinks they are going to sell into that market is either selling as a carbonate substitute say at FPR [ph] or is going to try and take market share in Greece maybe. But I think in carbonates, a much more complicated question. Just the nature of ground based production where we produce and how we produce, we won’t get the 90% battery-grade lithium carbonate production. But as I mentioned earlier, we don’t have to because we don’t need back to grade carbonate to feed our hydroxide units. So as we kind of could use lithium carbonate and maybe a quarter of a third of it, we are going to sell that will be the best quarter as far as that we can make and that will go out to the battery customers and the lower quality stuff that inevitably comes out will go into our hydroxide units.
Joel Jackson: And then you talked about, I think, 2022 -- $1 billion of CapEx for growth year 2022, through 2024. So three years that you should be able to internally fund it. Can you talk about, I mean, are you assuming that prices, lithium carbonate hydroxide prices stay where they are, are you seeing some moderation maybe given and what -- where would you under what pricing scenarios would you need to raise outside money here?
Paul Graves: Three quarters of our hydroxide production today, the price is set for the next few years, right? Of today’s production, clearly we have more production that will decide what to do with. We do expect to the pricing is going to be, like it’s going to be good for the next couple of years. That way I can describe it. Will it be as high as it is today? The prices you see in some of these industries are not realized prices, not by any stretch of the imagination. But we are seeing some equalization in other products, whether it’s the metal products, hydroxide. Japan, Korea, U.S. markets all start to play catch up with the trends that you see in China. And I don’t think any of us expect them to get to the same prices that you see in some of those indices. But I think what we actually have is a couple of years of pricing that is going to be pretty healthy for our industry. So, we do have, as I said, a wide range of different scenarios. And clearly, there’s a big difference as to how much we would need to raise in third-party financing under different price scenarios. But all of them are eminently manageable no matter -- even if you look at Q1 pricing and run that out or if you look at Q2 pricing and run that out, they are very different numbers. And so it’s a pretty wide range that we model when we made that statement. And again, we have been here before, so there’s no guarantees, but we feel pretty good that combined with adding, 6,000 tons in 2023, another 10,000 tons of product in 2024 and another 10,000 plus 20,000, in maybe 2025, we have got a pretty good volume offset to make sure that even we are a little bit up on our pricing we have still got a pretty healthy cash flow profile ahead of us.
Joel Jackson: Thank you, sir.
Operator: Your next question comes from the line of P.J. Juvekar from Citi.
P.J. Juvekar: Yes. Good evening, Paul. The lithium supply chain you mentioned, it’s entangled in China, which is causing price inflation. How do you see that getting unentangled, I guess, if that’s a world and why not move aggressively more in Bessemer City in the U.S. supply chain. And so instead of that 5,000 ton plant, why not go more aggressively here?
Paul Graves: Yeah. Hindsight’s a wonderful thing. We green lit that project a couple of years ago, which I think you remember wasn’t quite the market we are in today. And yeah, we wish we would done in Bessemer and build that. So now let’s be realistic now, P.J. There is no demand for lithium hydroxide in battery applications outside Asia today, right, pretty much none. And so while capacity is being built, it very few that I have seen are going to come on line before 2025. The challenge that you have, as you say unentangling the China supply chain is that actually almost all of the lithium is being consumed over there today. I mean, we have this weird disconnect, right about there’s a massive grain based production in South America, massive hard rock production in Australia. You have got growing hard rock production in North America and some alternative, but none of them in China. And we are also seeing slowly but surely biochemical conversion plants going in outside China with the big one going on in Korea. We have got some Australian ones being built, some smaller ones going in Japan. The supply chain is slowly moving away from China, but the key is cathodes and precursors and that largely still not only in China, but Chinese companies, Chinese producers. So I don’t know what will get untangled. I think what you will get is growth in supply chain and that feels that doesn’t touch China, but it will still be dwarfed by China. And China will still be a pretty significant, I think not pretty, the most significant piece of the battery supply chain that needs to be fed.
P.J. Juvekar: Great. Thank you. And then you guys did a good job on explaining our contracts and how they are becoming shorter term. My only question there is, what percent of your contracts are with large automotive customers and are these annual contracts or are they getting shorter as well? Thank you.
Paul Graves: Yeah. It’s another interesting one right, because I think it’s fair to say that contracts today are complicated. There’s no doubt about it. And I think there’s an attempt on the part of the OEMs to simplify them, but they themselves are still owning the supply chains. I would characterize by far the most important supply arrangements for us are into cathode. Maybe that that cathode maker is not actually buying the lithium, but they are qualifying as and they are putting it in the material and then deciding who they use, increasingly, which being the OEM. I think we have said in the past the sheer scale of most OEMs is that there are many lithium companies out there that I believe will be able to have meaningful contract agreements with OEMs, more than four or five OEMs. And so you will have many, many contracts of a much, much smaller size outside that. But the OEMs are so large and they are going to become so complicated in the way that they operate, that I think most of us will have to make a choice as to which four or five OEMs we are going to partner with. And I think the OEMs are starting to realize that as well. I mean, you want to buy 250,000 tons of lithium hydroxide, a year as I have heard some people claim by 2025, you better have a good procurement organization. You better have some world class supply chain skills if you want to do that.
P.J. Juvekar: Great. Thank you.
Operator: Your next question comes from David Deckelbaum from Cowen and Company.
David Deckelbaum: Thanks for squeezing me in, Paul, and congrats on some pretty exciting announcements.
Paul Graves: Thank you. Yeah. No problem.
David Deckelbaum: I wanted to ask if you could clarify a little bit your comments earlier. I think you were talking about this evolution of the industry to contract and directly with OEMs. One, as this evolution happens, do you still see incremental margin benefits on top of what we are seeing today, certainly with the updated pricing guide? And then two, you also mentioned that in some cases OEMs are offering capital to perhaps accelerate expansion plans. Is that a possibility for anything that you have planned, that solar umbrella in which a third-party capital provider could actually accelerate your capacity expansions and do these capital infusions from OEMs? Do they do they take the form of a carry out sort of operation where you are just to frame some of the upfront costs?
Paul Graves: Yeah. Look, I don’t know, because no one’s done one yet that I am aware of. That doesn’t mean the conversation about moving pretty quickly. And I think what I have seen and what I have heard is really two different two different models being thrown out there. I think there are some believe that to really secure long term supply of back commit deals, especially when you can see what’s going on in nickel, but other examples of this and maybe a more extreme version. But in lithium this idea that you have to invest in a project literally on equity and we see that tends to be blunting more Asian battery gains. I think that’s the way that they are most likely to secure supply. So that’s what they are pushing for. I think if you look at an automotive OEM, I think there’s a lot with interest to invest directly in extraction, in mining and even in chemical conversion plants and you have got to invest through the flow. You can’t just invest in a chemical conversion plant, because you have much have secured the raw material, you are not helping yourself. And so I think they are looking more towards what I loosely call prepayments. I don’t know a better way to describe them, but they are essentially providing capital upfront in return for security over long-term contract and probably that capital gets returned over the life of a contract. So there’s going to be lots of conversations and some interesting ones about how they are structured. But at the moment, these are still ideas. They are all offers, the suggestions. I do believe the certainly opportunities for Livent in that sense. I think a direct investment in a resource in Argentina, not many people are that keen to do that today. I think prepay not providing capital that is backed by a true long-term arrangement whatever that may mean, I think is a lot more interesting to most of them and I suspect that’s what we will see more of. I think what’s really interesting, though, if I am honest is, we are going to do it with, because we have seen this, right? You can go look at capital has provided contracts that have been signed, money that’s thrown out that people that have not only never produced a kilo of lithium, don’t even necessarily have credible flow sheets that they are selling and yet there’s capital flowing into them. I don’t think that’s helping anybody or anything or anyone. And so I am really curious to know about ultimately how much, despite all the talk, despite all the public statements, how much support you are going to give to those of us that actually improve and we can do this and that what we really interesting someone to watch.
David Deckelbaum: Absolutely. And looking forward to that coming to fruition in the coming years. So my follow-up is just briefly on the Chinese hydroxide conversion facility, look like 15,000 tons per annum of capacity. It looks like a $15 million build on that. Is that an all-in cost or do you have a partner there or are you benefiting already from other sunk capital, because it looks like it was just in the engineering stage.
Paul Graves: As crazy as it sounds that pretty much the entire all-in cost of building of -- I think is $25 million to $30, I think not $15million, but still relative to NRRs in the world. I don’t even know how to explain and have a conversation with multiple, multiple chemical companies, both in and outside the battery materials, you see the same trend. It is in partnership. There’s always a partner. You always tap into existing infrastructure that exists there. And it’s just a really, it’s a fascinating model for putting capital to work now. There are challenges, right, because once you build in China and you put your carbonate to China, lithium is going to stay in China. So you have got to be really comfortable as to what your business model looks like in China when you are going to go and do that. We are, we have been through this, we have left this with the existing resource. We also saw the back end of last year the danger of being concentrated in a single industrial park in China when you sometimes get some shutdowns of energy or COVID or others. So this is going to help us diversify to a different province in a different, a different industrial product. So it also helps us with that. Final point, I will make is most of our business in China is supporting customers in the west, but for whatever obvious reasons are having to produce in China. And so we are serving into what I will call western OEMs and western supply chains from our China facilities and this one I expect to be no different.
David Deckelbaum: Best of luck, Paul. Thanks for the responses.
Paul Graves: Thank you.
Operator: There are no further questions at this time. Mr. Daniel Rosen, I turn the call back over to you.
Daniel Rosen: Great. Thank you. That’s all the time we have for the call today, but we will be available following the call to address any additional questions you may have. Thanks everyone and have a good evening.
Operator: This concludes Livent’s first quarter 2022 conference call. Thank you. You may now disconnect.